Operator: Good day, ladies and gentlemen. Welcome to the Limelight Networks 2021 Second Quarter Financial Results Conference Call. [Operator Instructions]. I will now turn the call over to Dan Boncel, Limelight's Chief Financial Officer.
Daniel Boncel: Good afternoon. Thank you for joining Limelight Networks 2021 Second Quarter Financial Results Conference Call. This call is being recorded today, July 29, 2021, and will be archived on our website for approximately 10 days. Let me start by quickly covering the safe harbor.  We would like to remind everyone that we will be making forward-looking statements on this call. Forward-looking statements are all statements that are not strictly statements of historical fact, such as our priorities, our expectations, our operational plans, business strategies, secular trends, product and future functionalities, pro forma results and acquisition activities and contributions from acquired businesses. Actual results could differ materially from those contemplated by our forward-looking statements, and reported results should not be considered as an indication of future performance.  For more information, please refer to the risk factors discussed in our periodic filings, including our most recent annual report on Form 10-K.  The forward-looking statements on this call are based on information available to us as of today's date, and we disclaim any obligation to update any forward-looking statements, except as required by law.  Joining me on the call today are Bob Lyons, our President and Chief Executive Officer; and Ajay Kapur, who will become our new Chief Technology Officer. Bob will start today's call with an update on our improved expand and extend initiatives. As previously discussed, these 3 operational programs are intended to support improved growth and profitability including the recently announced acquisition of Moov Corporation, which does business under the brand name Layer0.  I'll then review financial results. Following that, Bob will use the remainder of the call to discuss aspects of our strategy and corporate initiatives going forward. We will then open the call for Q&A.  I'll now turn the call over to Bob.
Robert Lyons: Thank you, Dan, and welcome, everyone. I am pleased to report that the steps we have taken to improve profitability and our competitive position are beginning to demonstrate improvements in key areas of business performance. The recent organizational and operational improvements have improved our adjusted EBITDA and free cash flow. We expect continued improvement with line of sight to additional identified efficiencies and revenue growth.  While we reaccelerate our core CDN business with the acquisition of Layer0, we have laid the foundation for Limelight's evolution into a next-generation platform that leapfrogs the competition. The acquisition brings on significant technical talent to oversee Limelight's evolution as an edge solutions platform.  We will speak to this a couple of times on this call, and we'll provide additional insights on our strategy here today and further at our strategy session on August 24.  Consistent with the first quarter, we have continued to take aggressive steps towards improving shareholder value. As a quick reminder, we have organized our approach into 3 programs. Our improved program is focused on network performance and operating costs. Our Expand program is focused on revenue growth with existing and new clients, and our Extend program is focused on introducing new solutions that will increase network utilization, growth and gross margins. We have been very busy, and I would like to update you on our progress with each of these programs.  Under our Improve program, we have remediated the previously discussed network performance issues, and we continue to improve our cost model.  Achievements this quarter include our newly formed performance operations team has reduced rebuffer rates for some customers by as much as 30% and increased global network throughput by 20%. As a result, revenue from 18 of our top 20 customers has increased 20% year-over-year. We have identified an additional $8 million in annualized cost of good savings that we expect to contribute approximately $4 million in the second half of this year.  The $15 million of annualized cost actions taken in the first quarter have improved adjusted EBITDA from a loss of $3.3 million to a gain of over $200,000. Additionally, as revenue ramps in the second half of the year, we expect significant flow-through to adjusted EBITDA.  We believe that our improved network performance is the foundation for in-year revenue expansion with existing clients. Fittingly, our Expand program has focused on this opportunity as well as adding new clients.  Highlights this quarter include previously, we had discussed that 2 of our top 10 clients have meaningfully reduced our traffic due to performance concerns. Both have begun ramping us back up, and we expect the ramp to continue supporting our expectation for accelerating revenue growth in the second half of this year.  You may recall that our largest client uses algorithms to elevate traffic based on performance. We are focused on the opportunity to optimize our performance in certain regions in order to gain a greater market share of their traffic.  In the quarter, we implemented a Win-Back campaign to focus on past clients that no longer work with us. We are in active discussions with several former clients, one of which a former top 10 client has completed integration testing, and we expect traffic to return soon with an annualized revenue of $6 million. Perhaps as important, the traffic pattern was modeled largely to leverage our off-peak capacity. As a result, we anticipate an improvement in network utilization of approximately 300 basis points.  Last, we are excited to have Eric Armstrong joins as Senior Vice President of Growth. Most recently, he was Vice President of North American Sales and Services at Harmonic, a global leader in streaming, broadcast and service provider video infrastructure and will help continue our efforts to accelerate growth.  Continued expansion of revenue and profitability also requires us to extend our product scope to higher-margin products that leverage our global private network. We are excited to announce the pending acquisition of Layer0 Corporation. Layer0 is a SaaS-based application acceleration and deployment platform for developers. Their flagship product enables us to capitalize on the accelerating trend of developers utilizing the edge to better address application performance, overall productivity and reduce the attack surface. We believe that the combined Layer0 capabilities and our proprietary global network will give Limelight the best application delivery solution in the market.  With the acquisition of Layer0, we will be immediately launching a new web application acceleration and deployment solution. We believe that our solution will benchmark better than alternative offers on performance, price and productivity.  We expect Layer0 to contribute over $20 million of incremental revenue in 2022. We have identified approximately $3 million of additional annualized cost synergies. We also believe that Layer0 will be accretive to adjusted EBITDA in 2022. And this acquisition meaningfully improves our software product management and engineering capabilities.  Ajay Kapur, Layer0's founder will join Limelight as our Chief Technology Officer. Ajay brings with him an entrepreneurial spirit and approximately 90 team members that will be instrumental in our vision for enabling our solution set within our global edge network for developers.  Layer0 currently serves customers such as Coach, United Airlines, Revolve Fashion, Shoe Carnival, Kate Spade, Sharper Image and several top 50 U.S. banks. We are very happy with the progress the team has made in such a short time, but much work remains to be done.  We will continue our relentless pursuit of operational excellence, restoring client confidence, improving performance and returning value to our shareholders. We will continue to communicate our progress as well as our opportunities to improve. I believe that our improved performance, our cost management and the launch of our new application acceleration and deployment solution positions Limelight to capture more market share.  At this time, I will turn the call over to Dan to report second quarter financials. Dan?
Daniel Boncel: Thanks, Bob. Revenue for the second quarter was $48.3 million, a decline of 17% from the second quarter of 2020. As Bob noted, we believe the operational improvements implemented over the last several months and the alignment of our client success team with the metrics that matter most to our clients position us well to participate in expanded market share and traffic gains as more and more new content is released.  Despite short-term headwinds due to easing COVID resulting in changing streaming patterns, we are confident the actions we are taking will increase our ability to grow profitable revenue long term.  Our top 20 clients accounted for approximately 78% of total second quarter revenue compared to 79% last year. International clients accounted for 39% of total revenue in Q2 compared to 38% a year ago. Approximately 11% of our second quarter revenue was in non-U.S. dollar-denominated currencies, up from 10% last year.  Cash gross margins declined to 33% from 51% in the second quarter last year. Our largely fixed cost structure, coupled with a concentration of large video streaming clients results in the suboptimal network utilization. Our network has high demand for a relatively short period of 4 to 6 hours each evening in each region. While this remains true, our cash gross margin will have a high sensitivity to overall demand patterns and network utilization.  We will improve our network utilization by focusing on onboarding more software download customers and extending into the web application delivery space with the acquisition of Layer0, both of which generate significantly more offtake traffic. Win-back opportunities in the software download area are expected to drive utilization improvements in the second half of the year. We have recently improved alignment and focus on our global infrastructure with a regional management structure. We believe this alignment will further improve our ability to capture opportunities in the markets we serve, resulting in continuously improving our performance, utilization and cash gross margins.  Total operating expenses were $19 million, a decrease of 29% or $5.6 million, excluding restructuring and transition-related costs which totaled $2.2 million in the second quarter and $11.7 million in the first quarter of 2021. We have started to realize the savings anticipated from the actions taken in March of this year as well as improved management of all operating costs. We expect restructuring and transition-related charges to be approximately $2 million for the remainder of the year as we continue to evaluate opportunities to further optimize our performance and cost structure.  The aforementioned operational improvements resulted in a meaningful sequential increase in adjusted EBITDA to a positive $200,000 from a loss of over $3 million in the first quarter. Cash and marketable securities totaled $119.6 million, an increase of $2.6 million. We paid $4.1 million related to restructuring and transition-related expenses and the capital expenditures were $3 million during the quarter. DSO at the end of the quarter was 42 days compared to 51 days at the end of March. We anticipate continued DSO performance in 2021 within our normal range of 50 to 60 days.  On to guidance, we are leaving our current expectations unchanged except for capital expenditures. We currently expect CapEx to be in the range of $15 million to $20 million for the year compared to previous guidance of $20 million to $25 million as efficiency gains through software enhancements and focus on better asset utilization are expected to provide the capacity needed to meet our revenue guidance. We do recognize there is timing risk associated with expected traffic ramp in Q3 and Q4. As we discussed in our last quarter earnings call, we will continue to monitor this risk and communicate any adjustments should it be necessary.  Early indications are that we are ramping traffic, but there is risk associated with the rate of ramp and to what extent post-COVID traffic patterns continue. Offsetting these risks are a few new growth assumptions in our model. These include: The win back of a large software download client that will heavily utilize our off-peak traffic capacity. This represents $3 million of in-year revenue and an annualized revenue target of $6 million.  Also, the acquisition of Layer0 provides the ability to immediately expand their existing product offering to bundle with our delivery service with existing clients, and we expect to contribute approximately $20 million in 2022. Let me take a moment to add a bit more color on the Layer0 acquisition. We believe that Layer0 fits perfectly into our strategy of adding new high-margin, high-growth SaaS solutions that leverage our global private delivery network.  In short, we are combining the benefits of our world-class global edge network with Layer0's unmatched application performance and developer productivity capabilities to create a leading edge solution with higher margins high growth and that improves our network utilization. By offering this type of product solution, we expect to diversify our customer base with more SaaS-oriented revenue versus our traditional noncommitted usage base.  As we grow this product offering, it will lead to customer count growth, reduction in revenue concentration risk and a more predictable revenue stream. Approximately 65% of Layer0's revenue is contracted recurring subscription SaaS-based revenue with a gross margin of over 70%. Layer0's flagship product is growing rapidly at well over 30% per quarter.  Layer0 was operating at essentially a breakeven level on an EBITDA basis. We expect to gain $3 million of cost synergies on an annual run rate basis once we get through closing the transaction and integrating the teams. Under the terms of the definitive agreement, Limelight attends to acquire Layer0 for approximately $55 million, subject to customary closing adjustments in an equity pool to retain this talented team and introduce new products driving our future growth trajectory.  With that, I will turn the call over to Bob.
Robert Lyons: Thanks, Dan. We continue to be energized with the opportunity that lies in front of us. The acquisition of Layer0 is a very strong step forward in our strategy to position Limelight as a leading provider of edge orchestration solutions. The technology that Layer0 brings to us will allow us to offer a solution set at a performance level that we and our competitors have not been able to offer in the past. Market research tells us customers value subsecond powered websites.  Developers also want the ability to access the edge of a global network to create their front-end applications, preview their content and deploy instantly. They also want to deliver their applications on a platform that includes their basic security needs such as WAF, DDoS and threat detection. By combining the SaaS assets of Layer0 with the global edge platform of Limelight, we believe our application delivery solution will drive significant value for our customers, including driving better performance for our clients with website speeds that are 4x faster than current competitive alternatives, improving developer productivity with our Jamstack tool set, making it simple to deploy web apps built for the edge and providing a holistic solution that includes observability tools, self-service onboarding, edge compute, serverless compute and other capabilities that will be utilized in our existing content delivery solution.  Layer0 will immediately add approximately 80 new clients to Limelight's global network with an average annual spend of $160,000. We believe there are thousands of companies who currently are underserved by their existing provider -- These companies are looking for an end-to-end solution that improves performance, productivity and has security embedded in the functionality of the service.  I look forward to sharing more details of the future of Limelight at our August 24, strategy session. Please join us for the discussion where feedback and questions will be welcomed. We will issue a press release with dial-in and webcast information on August 10.  With that, operator, please open the lines for the question-and-answer session.
Operator: [Operator Instructions]. The first question will be from James Breen with William Blair.
James Breen: Just a couple. One, can you just talk about -- obviously, revenue is down this quarter, $48 million sequentially. Was that sort of a broad-based weakness come for a couple of customers?  And then what's your confidence in that in this quarter sort of being the bottom in terms of your core business historically. And then as you think about closing Layer0 in August, any thoughts on how much that can add in the back half of the year? You talked about another deal that could add, you said $6 million annualized, which would be $3 million in the back half. But in order to get to that low end of the guidance, you need to be about $120 million in the back half. So just trying to piece things together from where we are today to where we'll be at the end of the year?
Daniel Boncel: Yes. Thanks, Jim. This is Dan. Appreciate the questions. And listen, I think we're at an inflection point with the company. I do think that Q2 represents the low end of our reported revenue numbers and we're really excited about what the addition of Layer0 is going to bring as well as the future of what we see from our existing customer base.  We mentioned that 18 of the 20 -- 18 of our top 20 customers actually increased their revenue by 20% this year. So we had a couple of our bigger customers that didn't see the traffic growth that these other customers have seen. But we think that the performance improvements in the operational efficiencies that we have put in place have really shown through for many of our other customers, and we're excited that, that ramp will continue in the back half of the year. And that's what gives us confidence that we can hit those growth targets that we set for the back half of the year and in Q3 and in Q4.
Robert Lyons: Jim, it's Bob. I'll just add to that. I think it's largely driven by really one customer that has seen a little bit of a post-COVID softness due to people just getting out as well as lack of content. We don't expect that to continue, but that's really what's driving that.  I think the issues that were self-inflicted that challenged our revenue in the past, we've dresses. And so at this point, it's really going to be more market-driven. And that's going to come back. The only question for us is really when.  The other, I think, important point is that we've done a lot of work on the cost side of the equation over the last 4 months. And so when that revenue does come back, it's going to flow pretty heavily to the EBITDA line. So we should be good on both fronts. And so it's really not a challenge of performance. It's really just waiting to see how the market shapes up with an area we happen to be pretty concentrated with the customer.
James Breen: And just last question on Layer0, you talked about $20 million of revenue in 2022. Can you give us any color around what that company is growing at now from a pace perspective?
Daniel Boncel: Yes. I mentioned that it's growing 30% quarter-over-quarter, and we expect those trends to continue. And so with that said, backing down from the $20 million in '22, you can get to roughly $4 million to $5 million in the back half of this year, that will contribute also to that revenue ramp that we are suggesting with our guidance.
Operator: The next question will be from Eric Martinuzzi of Lake Street.
Eric Martinuzzi: Yes. Just to follow up on that most recent -- the comments you just made about the revenue. So the guidance that you've reiterated now includes how much revenue from Layer0?
Daniel Boncel: About $4 million to $5 million we expect in the back half of the year, growing significantly as we head into 2022.
Eric Martinuzzi: And do they make a contribution to EBITDA? Do they weigh against the prior EBITDA guidance and you're overcoming that with more cost cuts? Or what's the impact on the EBITDA?
Daniel Boncel: Yes. Layer0 was out breakeven on a stand-alone basis. We plan on adding salespeople into the mix in order to sell the new product that we're going to be introducing as well as marketing of that new product. But with them operating on a stand-alone EBITDA breakeven basis, we do believe that there are cost efficiencies that we can drive into the results of the company that's combined with Limelight of approximately $3 million. And so we do think that, that will come in, in a relatively short amount of time, and it will improve EBITDA coming out of the fourth quarter of this year.
Eric Martinuzzi: Okay. And then just to be clear, that acquisition has yet to close, it will close in August. Is that correct?
Daniel Boncel: Yes. We signed it yesterday, announced that signing yesterday, and then we expect a couple of weeks...
Operator: The next question comes from Colby Synesael of Cowen and Company.
Michael Elias: This is Michael on for Colby. Two questions, if I may. If I'm not mistaken, last quarter, you said that you expected revenue and gross margins to be flat quarter-over-quarter. In this quarter, we saw a sequential decline. So my question is, I mean, as it stands, how would you describe your visibility into the business and into your guidance?  And then secondly, related to the software downloads, if I'm not mistaken, I believe in 2019, the company backed away from doing software downloads, and I think the reason was because it was unprofitable. Just wondering what's changed in that area and why you're pivoting to pursue that now?
Daniel Boncel: Yes. So I mean one of the struggles that we obviously have is the visibility into the traffic and market share of the traffic that we get from our existing customer subset. And so one of the things that I'm really excited about with the Layer0 product and capabilities that are going to be coming online with us is that ability to have that exclusive contract with the customer, a more predictable revenue stream that we can then layer into our forecasting process, and that is in a high-growth area that we're expecting to contribute more and more to revenue on a longer-term basis. And so while we do lack the visibility with our current subset of customers, the products and capabilities that come online with Layer0 are completely different from what we've experienced in the past. And we do believe that we have visibility and the line of sight into the growth in the third quarter and fourth quarter of this year with additional content coming online, with the addition of Microsoft and the software download type of business that we're getting back into.  And what has changed there is the ability to manage and monitor that type of traffic within our network that allow us to provide better pricing and incentives for the type of traffic that those customers can deliver for us or that we can deliver for them and provide a value proposition to them to move to us because we can monitor that traffic and move it around within regions at off-peak times to better utilize the network.
Operator: The next question will be from Jeff Van Rhee of Craig-Hallum.
Jeff Van Rhee: Just a couple for me. First, maybe with respect to Layer0, can you talk through -- I guess I'm curious if you sort of compare and contrast of the sales process, the path the customer capture. So what does sales or Layer0 look like versus your core products when you think about the buyer? Are these similar buyers? Are they similar sales motions and processes or the similar marketing structures, the synergies? Just how are those 2 going to come together and play together?
Ajay Kapur: Yes. Thanks, Jeff. This is Ajay Kapur, the -- today, the CEO of Layer0 and soon to be CTO. And first off, before I answer, thanks to Bob and Dan for bringing us on. Me and the team are extremely thrilled and very excited about what we can do together as a joint forces in the market.  As it relates to go-to-market for our products and the evolution of that product within and on the Limelight network, there is definitely more of a transactional mid-market engine that we're going to -- that we're going to be bringing and that we're going to be scaling. That's one piece of it.  Another piece of it is that there is more committed contract revenue. So it's a higher velocity model, but it's building committed contracts and more predictable forms of revenue. So those are a couple of components that are there.  And we have found that the persona that we go into, they tend to be, in some cases, the same industries, such as media and software. And in other cases, different industries. So we're expanding to different industries, such as e-commerce, travel, hospitality, and a variety of just kind of the big content -- web content providers that are out there. So the persona and the people at the company tend to be different, but it's a big expansion of whom we could talk to in the market.
Jeff Van Rhee: Yes. Ajay, I'd say, I guess, just to follow up on that, then as you were building the business and now winning deals, what was the typical competitive takeoff? Or who would you ultimately see most frequently at the end of the day?
Ajay Kapur: It's interesting because the category of Jamstack is a new and rapidly expanding one. So we would come in and we didn't need to always -- we could complement and work alongside the application delivery network and the typical names you know there.  So it wasn't always competitive as it was additive, and we continue to see that to potentially be the case for a bit. So someone would come in and say they just need developers to be able to release features more quickly, they need a subsecond website because Google is coming and saying that they're going to rank websites and they are ranking websites based on that speed. So it was through those dimensions that people bought even when it was using -- used alongside one of the hypercloud vendors or one of the edge application delivery networks.
Jeff Van Rhee: Okay. Fair enough. And then I guess just back to the sort of the core existing business to date. And both Bob or Dan on the traffic trends in the quarter. Maybe just spend a minute longer talking about what you observed overall in terms of traffic growth, pricing, code-specific behaviors, how things evolve start to finish through the quarter?
Robert Lyons: Yes. This is Bob. I'll take that and then Dan, feel free to chime in. I think, look, the way we think about it, the primary question we're trying to solve, obviously, is how do we position this company to create shareholder value going forward.  And there are really three things that we've got to be confident in order to make that true. First is, is there a bounce from historical performance and certainly the recent few quarters of down trends? Secondly, what will that bounce look like? And third, can that bounce be sustainable and continuously improved upon?  And so when you look at those 3 questions, the -- we're pretty confident that bounce happens in this quarter, Q3. All the things we're seeing, I think to answer your question, I've had conversations with all of our top clients. We're not seeing pricing issues. In fact, I've verified that we're pretty in line with market. I think the only headwind we're seeing at this point is really just people are not watching as much TV right now and waiting for that to come back around and normalize. People are getting out of the house now finally for the first time.  But based on that, we still see a bounce in Q3. The question then becomes is, what's the trajectory of that look like? And we're waiting to see that. That's where the risk is right now.  And then how do we make sure that's sustained? I think all the things that we've done around improving performance ensures that our core business will continue to grow in a sustainable way and the addition of things like Moovweb allow us to diversify that and give us other channels a growth and profitability and gross margin improvement.  So we feel pretty good about all that. And I think the last important point is, given that we don't -- currently, I don't want to jinx us, but we don't currently see any surprises with pricing pressure or anything like that right now. The work we've done on the cost savings as traffic does come back, which it will, we see that doing a pretty good job on the bottom line for us as well, given how we really tighten up the business over the last 1.5 quarters.
Daniel Boncel: Yes. And I'll just add few specific items on to that. We have these growth expectations for Q3 and Q4. And that is to some extent, predicated on new content and streaming patterns returning to normal. I think people were a little tired to being cooped up and not being able to do things out in public and that has impacted growth in the second quarter, but we see that coming back in the third and fourth quarter.  In addition, we've expanded pretty rapidly in Latin America with some partners down there. And as quickly as we build that capacity, it's being taken up in demand from our existing set of customers.  And so -- we're going to continue along that strategy and continue to work with our partners in South America to continue to add capacity, and we expect that capacity to continue to be in demand. And then like I -- the large software download customer will also contribute to the revenue growth. And traffic -- increase in traffic in the back half of the year as well. So all those things, I feel really good about. Like I said, I do think this is an inflection point for the company that we are on an upward trajectory, and we're looking forward to that growth and seeing that growth with the profitability, gross margin and adjusted EBITDA.
Operator: [Operator Instructions]. The next question will be from Rudy Kessinger of D.A. Davidson.
Rudy Kessinger: I'm curious if you could talk to kind of the share that you guys have lost with a couple of your key customers. Just how much of that have you gotten it back? Are you all the way back to where you were? And I mean at what point did you achieve that? Was that later in the quarter or earlier on? And then also, could you talk to maybe some of the early signs of success you guys have had moving traffic from the peak hours to the off-peak and sort of how you're going about that to encourage those customers to move?
Robert Lyons: Yes. So I'll start. This is Bob. Thanks, Rudy. And then Dan, feel free to chime in. The -- there were a couple of areas where we lost traffic due to performance with share. I think in one case in particular, we lost all the share, and they were a top 10 client. That client is now back and starting to reramp and it's early days on that. And so that's one of the areas where we're going to see a lift going into Q3 and Q4.  And I think the other customers where we might have had a fraction of a percentage decrease those are also ramping back up. So we're really not seeing headwinds today from performance. We do have some time to ramp it back. It seems to go way quicker than it comes back, but it is coming back. And so that's one of the areas where we're looking closely at monitoring as we go in the back half of the year. That's one of the risk areas.  Yes. Do you want to...
Daniel Boncel: Yes. And again, the operational performance and the metrics and the focus of our customer success teams on the metrics that matter to our customers, we can see that really making a difference with their engagement with us. And we feel that, that will all continue as we continue to work through the different sort of things that our customers are working on and want us to work with them and partner with them going forward.
Robert Lyons: Yes. And then your question about how do we use off-peak traffic. It's not really feasible to try to shift viewing patterns to offpeak. So what we have to do is use that offpeak capacity for other things. And so obviously, we talked about the file download business and the way that we've been able to position that to be actually profitable for us and a growth engine and then also doing things like Moovweb, which is very complementary to our off-peak traffic.  And then we'll talk about how we're going to do that in more depth at our August 24, strategy session. We have a lot of thoughts around that, and that is a key part of our strategy of how to leverage that offpeak traffic -- or I'm sorry, offpeak capacity.
Rudy Kessinger: Got it. And then I'm not sure if Eric is on the call or not, but I'd be curious, what are kind of his top priorities near term, especially with the Layer0 sales team coming in and trying to integrate those?
Robert Lyons: Yes. No, he's not on the call. We're very excited to have Eric. I think we spent a lot of time doing a search for the right person and pretty excited. He knows our business very well. He knows the industry very well. He has a lot of contacts and avenues in the clients that we don't have today as well as some of our existing clients. So we're pretty excited about that.  The strength of Eric is really that he is a very strong builder and operator of sales and DemandGen teams and probably one of the best that we've seen -- we talked to -- I can't tell you how many people we talk to as candidates. We had a lot of really good candidates. But he really rose above all of them in that capacity.  And one of the things that we said is, look, we're going to give the company more products, growth products to sell, and then we want to expand and build a high-growth team. And Eric has demonstrated that. The company he just came from is demonstrating 40% growth in the same space, and we're really excited to have his capabilities and have him really build the team out.  So I think the strength of him are going to be his ability to build the team out and really drive high-performance sales processes around that. And his connections in the industry to be able to leverage those to really help us accelerate the success we have in the sales and marketing and the things in DemandGen and the company.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Bob Lyons for any closing remarks.
Robert Lyons: Thank you, operator, and thank you, everyone, for joining us today. We look forward to presenting our vision in further detail at our strategy session on Thursday, August 24. Have a great evening. Thank you.
Operator: Thank you. The conference has now concluded. Thank you all for attending today's presentation. You may now disconnect. Have a great day.